Operator: Good day, and thank you for standing by. Welcome to the Quanterix Corporation Q1 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions]  I would now like to hand the conference over to your speaker today, Mike Doyle, Quanterix CFO.
Mike Doyle: Good morning , everyone, and thanks for joining us today. With me on today's call is Masoud Toloue, President and CEO of Quanterix. Before we begin, I would like to remind you about a few things. The call will be recorded and will be available on the Investor Resources section of our website. Today's call will contain forward-looking statements that are based on management's beliefs and assumptions and on information available as of the date of this call. We may not actually achieve the plans, intentions or expectations disclosed in our forward-looking statements.  Forward-looking statements involve known and unknown risks, uncertainties, assumptions and other factors that may cause our actual results, performance or achievements to be materially different from any future results, performance or achievements expressed or implied by the forward-looking statements. The risks and uncertainties that we face are described in our most recent filings with the Securities and Exchange Commission. With that, I will turn the call over to Masoud.
Masoud Toloue: Thanks, Mike and good morning. Before we start, I'd like to thank Kevin and the Board for their support in this new chapter at Quanterix. Kevin's dedication and passion for this company and its impact on health care goals are shared. I look forward to working with him, the Board, our employees and customers.  Since I joined Quanterix last year and transitioned to this new role, two weeks ago, what has been very clear to me is that our ultra-sensitive single molecule array Simoa technology is being used every day to see, detect and measure of proteins in a way that's unparalleled. But it's how we effectively deploy this technology that counts. This includes unlocking new biomarkers, playing a key role and breakthrough research, and ultimately developing tests that will have a significant impact on the human condition.  Last quarter, we reported total revenues of $29.6 million, which represents a 9% growth year-over-year. And as previously stated, we are on track to achieve revenues between $122 million and $134 million with higher growth rates on the back half of the year. Our growth was driven by strong performance in our consumables segment, which grew 28% year-over-year. Excluding our '22 Lilly collaboration that growth was partially offset by instrument and accelerator decline, driven by strong demand in 2021 for pandemic testing in our laboratories. We realized the benefits of our collaboration with Eli Lilly, which is a partnership that Quanterix has been working towards for several years and provided $2.7 million in revenue during the quarter. As a reminder, this multifaceted agreement provides Quanterix access to Lilly's P-tau217 antibody technology for near-term Simoa based research products and services and future in vitro diagnostic applications. It also establishes a framework for collaboration that we expect will drive continued growth as well as revolutionize the diagnosis and treatment of Alzheimer's disease. Our adjusted gross margin of 49.3% declined by approximately 1,000 basis points compared to last year. As part of our transformation and scale with quality focus, we are implementing several new processes, one of which is around inventory management, which did have an impact on margins this quarter. These new process changes will be an important foundation for future performance.  Operating expenses were approximately $32.7 million compared to $26.1 million in Q1 ‘21, due to personnel increases and lab expansion to take on several new projects. In terms of cash, we spent approximately $22.1 million to support our operations and additional factors that Mike will discuss. Looking at our revenue growth by geography, we continue to have very strong presence in North America where we grew 18%. Our year-over-year growth in Asia was driven primarily by lack of activity in '21 due to COVID and a reduction in the EU was due to a strong prior-year COVID-related demands for pandemic testing in our labs. We maintained a roughly even split between revenue earned from pharma CRO clients and academic clients during the first quarter.  Publication pull-through continues to grow. Our Simoa technology was highlighted in a record 151 new publications in the first quarter of '22, bringing total Simoa specific inclusions to over 1,700 since its inception in 2006. 82% of our first quarter revenue stemmed from neuro related offerings, up 77% compared to prior year period, driven by strong adoption of Quanterix's neuro capabilities, strong demand for our pTau-181 and neuro multiplex assays. Now, I'd like to spend some time highlighting a few of our exciting operational and business developments that we announced this quarter. Starting with the receipt of our breakthrough designation from the FDA for our Simoa Neurofilament Light Chain or NFL plasma test, which follows our announcement last year for the same designation on our pTau-181 test.  Using our technology, researchers from Basel were able to quantitatively measure NFL and human serum and plasma which when used in conjunction with clinical imaging helped to identify relapsing-remitting, multiple sclerosis patients who were at risk, at lower higher risk free lapse within four years. This could, therefore, be useful in tailoring the therapeutic approach to more effectively treat the disease.  If approved the Simoa NFL test could help them as community by offering a more effective detection method. It is really important to achieve this, but I want to caution that developing these IBD tests takes time and we don't expect any near-term revenue impacts from regulated products.  One of the limitations of the NFL biomarker test was establishing a baseline that corrected for age and body mass, as people age their NFL levels increase. This study looked at over 10,000 samples from over 5,000 subjects to establish a baseline and give us a better understanding of NFL and identifying individuals with brain health concerns. The data rates established by this study was published in the Lancet and is an important milestone for our Simoa NFL test.  Quanterix’s Simoa technology also enabled the completion of multiple other high-profile studies, the result of which were published during the quarter. Through a recent study from the Harvard School of Public Health, Simoa technology was instrumental in detecting NFL protein at ultra-levels to reveal a high prevalence of Epstein-Barr Virus associated with MS. This evidence suggests that EBV is the leading cause of MS, a truly revolutionary finding for the entire MS Community. We're thrilled Simoa was a key part of this discovery. Now, I'm going to turn it over to Mike to discuss some more financial details. Mike?
Mike Doyle: Thanks, Masoud. I'm going to provide some additional financial details about our first quarter 2022 performance. And for your reference, for those following on the call, it will be Slide number 8. As Masoud noted, our total revenue in the first quarter of 2022 was $29.6 million, a 9% increase versus the first quarter of 2021 revenue, which included approximately $2.3 million of revenue from our non-recurring and now completed RADx awards. We had product revenue in the first quarter of $20.7 million, an increase of 13% versus the first quarter of 2021.  Within product revenue, consumables revenue once again had solid growth increasing 28% in the first quarter versus the prior year, driven by our strong demand for pTau-181 and our neuro multiplex assays. First quarter 2022 service revenue increased 37% versus the prior year first quarter to $8.8 million, included within services revenue is $2.7 million recognized during the first quarter of 2022 from our collaboration with Eli Lilly announced during our Q4 2021 release.  We feel comfortable that customers’ activity has returned to pre-COVID levels. However, potential spread of new variants could force renewed lockdowns. In addition, global uncertainty with rising inflation and the war in the Ukraine, continues to have the potential to impact our performance.  Our Q1 2022 gross margin was 49.3% compared to 60.1% in the first quarter of 2021. There are a few factors that drove this change. Our recent growth is highlighted inefficiencies in our inventory management processes and the response we made a change in the way we estimate and reserve for excess and obsolete product. This change looks at 12 month activity versus three months and should result in a more accurate assessment of the E&O reserves. The initial impact of this change materially affected our results for this quarter.  Due to higher inventory balances, we also instituted a longer early quarter shutdown in Q1 of 2022 as compared to quarter one of 2021 to perform our annual physical inventory count, which impacted productivity. We've made a number of process changes to how we manage inventory that will allow us to scale with quality and improve margins going forward.  Our operating expenses totaled $32.7 million in the first quarter of 2022, an increase of $6.6 million versus operating expenses in the first quarter of 2021. Major expense drivers were volume related activity, personnel increases, outside services and laboratory expansion as we scale the organization and invest in process improvements. During the first quarter of 2022, our cash balance decreased by $22.1 million, ending unrestricted cash balance of $374.3 million at March 31, 2022 and basic weighted average shares outstanding for EPS totaled 36.9 million for the first quarter 2022 period. Cash outflow from operations was $22.1 million, driven by higher operating expenses, primarily driven by headcount increases, timing of vendor payments and CapEx.  With $10 per share in cash and no debt, our balance sheet is in excellent shape and we're well positioned with adequate resources to pursue our strategic objectives. Overall, we're pleased with the first quarter performance and the progress made on our strategic priorities and remain committed to delivering solid remainder of the year 2022 results in line with expectations. With that, I'll turn it back to Masoud.
Masoud Toloue: Thanks, Mike. Now, before we open up the line for questions, I want to recap where Quanterix is today and talk about where I see the company headed in the future. Looking ahead to the rest of fiscal ‘22, we want to be clear that we're focused on three primary areas.  Starting with scale with quality. As we enter a new chapter and realize the full potential of our platform, we're keenly focused on scaling our products and services to meet increasing demand. I want to send a message out there that we want the best operations people and scientists to join an existing group of extraordinarily talented individuals and organizing around these incredible people and executing our new model are going to be critical for us. Second, in the biomarker space, it's clear that we are on the front lines of innovation. Key drivers behind this innovation are our people, the feedback we received through our deep relationships with customers and researchers. Quanterix is rooted in a deep heritage of scientific breakthrough and we believe it's early innings for us. We announced the release of our 100x sensitivity in our accelerator by the end of this year and we expect to provide for the first time pTau-217 on the Simoa platform in the same timeframe. We will pursue both organic and inorganic investments as we enter this new chapter. Finally, we're focusing on the translation of research biomarkers to those that are being used in clinical testing and ultimately diagnostics. We're validating both pTau-181 and then NFL in our CLIA lab and look forward to making these tests available in the near future. Simoa is uniquely positioned to detect biomarkers early and play the differentiated role in this continuum. Let's open up the lines for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Max Masucci of Cowen and Company. Please proceed.
Max Masucci: Hi. Thanks for taking the questions. First one, last week, the FDA approved the first IBD test used in the detection of Alzheimer's disease. It's the CSF based test and that earned approval through the breakthrough device designation pathway. Masoud, it would be great to hear your thoughts on the CSF based test approval, whether you've had any recent dialogue with the FDA related to -- your to breakthrough device designation for pTau-181 and Serum Neurofilament Light and whether you would expect a similar timeline in terms of how quickly and your two tests could advance through the breakthrough device designation pathway.
Masoud Toloue: Hi, Max. Thanks for the question. So the way we look at this is that on the -- our breakthrough designation on the NFL test, we just received that this quarter, in Q1 and very excited about that and being able to measure NFL and what it's going to do for relapsing-remitting MS Patients. We heard about the test, the CSF test. Obviously, we had the 181 breakthrough designation in last year for Alzheimer's. And I think when you look at measuring whether it's 181 or NFL the best screen is probably going to be ultimately in blood. And so, CSF is great for us, because it now serves as a marker that we can measure to as opposed to a pet. So, we're very happy that it was approved, but we think that the plasma blood screen will be the final ultimate perfect screen for the market.
Max Masucci: Okay. Great. And then Masoud, can you give us any sense for how your conversations and interactions with Alzheimer's drug developers and regulatory authorities have changed in the past month since the final NCD sort of beta amyloid antibodies. It's been about a month now. And just, if you've seen any changes in the behavior in your customer base over the past month?
Masoud Toloue: I think the -- obviously, the NCD came out and there's a lot more interest now to do more testing and more trials with our 181, our 217 and a lot of the other antibodies, A beta 40, 42. And clearly, there is a few other shots on goal for Alzheimer's, with a few other pharma companies. Now, what is consistent is that some more work has to be done in the field. And when those people are doing that work, they're using our tools and our technology. So, it's been positive for us, a lot more interest in doing more testing and examination of different types of biomarkers.  From a regulatory standpoint, we don't see any major difference here. We talk about our single-site IBD breakthrough designations with the FDA. At the same time, we also announced, at the beginning of this year that we're also looking at some LDTs to our CLIA laboratory. And so, that as the first step and then single-site IBD as a second step in the future.
Max Masucci: Great. Final quick one for Mike. We've seen a number of companies in our coverage chart out their path to profitability. It would just be great to get a sense for how you're thinking about the revenue level that would be required for Quanterix to crossover into cash flow breakeven or any other details around how you're thinking about the path to profitability?
Mike Doyle: Yeah. Great question, Max. Thanks. And while we haven't -- we've talked about seeing on our RUO business cash flow breakeven in Q4 of '23, early '24. We haven't changed our posture there. We didn't assign a revenue number, but I think from our perspective, our goal continues to be to maintain our revenues and get our revenues hit that historic level of 30% to 40% growth. That's obviously not the guidance that we gave this year, but I think we're looking to come out of this year and accelerate into '23, getting ourselves back into that range. So that's how we're thinking about it and we'll probably at some point provide more color and detail on that in a future call.
Max Masucci: Great. Thanks for taking the questions.
Mike Doyle: Thanks, Max.
Masoud Toloue: Thanks, Max.
Operator: Thank you. Our next question comes from Kyle Mikson of Canaccord. Please proceed.
Kyle Mikson: Thanks. Hey, Masoud and Mike. Thanks for the questions. I wanted to start with the financials. So on the soft gross margin, recognizing that 49% is not well below like what I would think Quanterix kind of could be in the near-term like at mid-50s, high-50s kind of business, but I just want to understand that if there is any kind of number one supply chain issues, I heard, Mike, your kind of explanation there in the remarks, but just supply chain is pretty topical to understand that.  And then the accelerated gross margin dynamics, I mean, what could margins be a scale for that business versus maybe typical consumables. I know, I think it's stronger I believe but Louis was in there. Of course, I was just curious about that? And then maybe Mike or Masoud, can you just comment on like next quarter, how should kind of think about this going forward in the near term for gross margins? Thanks.
Masoud Toloue: Yeah. Hey, Kyle. Thanks for the question. I will start and then I will have Mike chime in on parts that -- of your second part of the question. So, I think the key thing for us, Kyle, is that we’re trying to scale with quality and trying to organize our ability to deliver products to customers. And as we do that, we mentioned some specific changes to our -- the way we do our inventory quality process, the way our mix changes as we get new demand from our customers. So, part of that was a gross margin effect that we view as a low point, but we see us improving that gross margin with a lot of these process initiatives that we plan on implementing.
Mike Doyle: To pick up on the quarter, Kyle, a couple of things happened. I mean we mentioned that we have -- as Masoud discussed this, our focus of scaling with quality and I think we have taken a hard look and we’re doing different things now for in terms of how we manage our inventory. What that impact was in the quarter was we basically we had -- we drove up the excess and obsolete. We had a record a larger charge there and then we changed our methodology and our change in estimate in terms of how we look at the reserve in a go-forward basis that we think is reflecting what's going on.  So when you make that initial change, which effectively was instead of a look back at three months’ worth the history to look back at 12 month worth the history that initial change has you bump up your reserve. So I think that's something that, that occurred in quarter, that's not going to repeat itself, but to Masoud’s point, our focus is on really, really finding ways to scale very effectively with quality. I agree with your assessment that this is a mid-50s margin business and that's what we are going to march our way back towards.
Kyle Mikson: All right. Perfect. 
Mike Doyle: And look, with regard to Accelerator, yes, obviously, we have Lilly running through there and that's -- the beauty of that arrangement is we’re really beginning to leverage our Accelerator lab. And as a result, we should start seeing margins that are meaningfully different year-over-year versus last year as the year progresses. We haven't put a stated margin goal out there for Accelerator. But it's, as we have said before again our consumables business is our highest margin, but Accelerator at scale it should approach that over time.
Kyle Mikson: Okay. That was great. Thanks so much for that. And then just looking at revenues ratification by disease type or I guess application. Oncology applications grew 31% year-over-year. Last quarter, that was flat. I know this includes immunology inflammation, but could you guys just walk through like what's driving the growth, if it's sustainable, because it's obviously exciting given neurology clearly remained strong, but oncology is interesting application for you guys.
Masoud Toloue: Yeah. Thanks. Kyle. I think from a high macro view obviously, neurology was a big pick up for us as well. On the neurology side, we see a lot of increasing demand from our customers. On the oncology side, there were few publications -- key publications that came out. And mainly as you said on the immunology side and that continues to be an area that's growing, especially from the academic standpoint. So, I would say probably our biggest impact though has been on neurology.
Kyle Mikson: Okay. Actually on that note, so you receive funding from the Alzheimer's Drug Discovery Foundation to accelerate this some multi-analyte test. I'm just wondering, it's incremental to your other testing you've mentioned for Alzheimer's and other diseases. What's kind of like the end game, and how many workshops annual do you want to really have here with this type of the test? And what's the kind of path forward with this, in particular, obviously was interesting, I just wanted to kind of ask about that.
Masoud Toloue: Yeah. Hey, Kyle. The way we look at this market everything you've seen up to us, up untill now on the FDA filings or even what we've mentioned as an LDT, those are all single analyte test. And we think they're going to be very important in triaging and screening. And then when you start to look towards, hey, what's a test that's going to be able to replace in the future imaging or supplant more invasive method. We think that's going to be a multi-analyte test that's anywhere between three and four or five analytes and so with this funding and this collaboration that we're doing with UMC, we're going to be developing an algorithm along with those multi-analytes for a test, diagnostic test that actually replaces some of these more invasive methods. So, that's the basic idea. So, a little bit different from what we're offering today or what we've announced.
Kyle Mikson: All right. Great. If I could just ask a final question, great to see the guidance being reaffirmed today, but clearly, it kind of implies an acceleration in the second half of the year or at least kind of going forward, beating the second quarter. Could you guys talk about what's going to drive that second half performance? Is there any kind of pharma contribution baked in there or something like that? Just curious about that.
Masoud Toloue: Yeah. I'll take that. And then Mike might have some additional color. Yeah. But our view is that it's definitely back end loaded for in terms of our revenue. If you look at, how we performed this quarter and we maintain on track till the end of the year. And I think you hit it on the head, it's exactly our pharma partnerships collaborations, a big part of that obviously is that big announcements with Lilly and then follow-ons from Lilly, the ability to offer new antibodies on the neuro side and this being a very active area of research, testing, clinical testing in neurology is really going to drive that back half.
Mike Doyle: And I think the only other comment I would add, Kyle, I mean, we -- I think we said even in our fourth quarter call, we had a lot going on that we're going to start the year with that both with new Chief Commercial Officer. He's adding to his team. All of those things are going to benefit us in the second half as people ramp and as we stay focused on resolving some of these other processes that enable us to scale and quality, that's the Lilly part of our first part of the year and I think as we get a lot of that behind us, you're going to see our ability to accelerate improve in the second half.
Kyle Mikson: All right. Great. Thanks so much guys.
Masoud Toloue: Thanks, Kyle.
Mike Doyle: Thanks, Kyle.
Operator: Thank you. [Operator Instructions] Our next question comes from Matt Sykes of Goldman Sachs. Please proceed.
Matt Sykes: Hi. Good morning. Thanks for the questions, Masoud and Mike. Maybe I could just start out with -- on the OpEx side, you guys, I think it was the third quarter of last year, you talked about increasing OpEx growth this year. Are you still kind of in-line with where you see OpEx growth over the course of this year, or how should we think about the cadence in terms of OpEx as we move through '22 and maybe into '23?
Mike Doyle: I think we're in line. We're down a bit versus the fourth quarter. I think that Masoud has taken a hard look at where we sit right now and I think from a resource standpoint, I think we're in a good place. I mean, we said we were going to staff to begin to get our arms around of the opportunities we had in front of us. So I think from here on, Matt, you should see quarter-over-quarter probably a little bit more consistency. I don't expect that we're going to have a big jump up this year in OpEx.
Matt Sykes: Got it. Thank you for that. And then in terms of kind of segment revenues. I think you've talked in the past about this being probably a higher growth year for consumables and maybe Accelerator, less so for instruments. But as you think about maybe instruments versus consumables, how should we think about that mix in terms of growth over the course of the year?
Masoud Toloue: Yes. I can take that one, Matt. So, the view that we have is that obviously the instruments that we have in the field, they're increasing utilization. And as a result, we see that driving our consumable increase in the quarter. And we also are thinking of this as Accelerator when we see a lot of demand in the field. The fastest way to get an answer on a biomarkers to send a sample or send test to our Accelerator. And so, we see that growing in the year, especially towards the back half of 2022. So between consumables and Accelerator that's where we see a lot of attention. I think instruments can be a little bit quarterly, but that instrument drive is going to continue, but consumables and Accelerator expect probably the strongest drivers in the quarter and in the year. 
Mike Doyle: Some color on instruments, Matt, because I know you focus on that. Our placement activity is been remarkably consistent in terms of what we add on a net basis, what we saw this quarter was a higher mix of SRx versus HDx. So, that impacts you have that revenue mix impact these HDx is our highest priced machine. So, we had a little bit of a mix issue going on when you look at the activity in quarter, even though our overall net placement is consistent with what it was in Q4. It's just more of a mix towards SRx.
Matt Sykes: Got it. Great. And then Mike, just one last one for you on this inventory management that you put in place in Q1. It sounds like the reserving and the process you put in place is more of a one-time event in terms of Q1. So we should expect gross margins are trying to upwards as you can talked about earlier in the call, but just maybe help me understand about sort of the one-time nature of these process improvements? Is it sort of isolated to Q1 and move forward or should we be thinking about these types of adjustments as you move through the year? Just want to understand how that works.
Mike Doyle: Sure. It's a good question, Matt, because there's really two components to the -- our gross margin activity. One was just the amount of product that we obsoleted in quarter, and that is high. I think we've taken a strong look at what's going on there so, that was high. And then, as a result of that and also as a result of our Q4 activity, we looked at our estimate for reserves and we changed how we looked at that we basically went to a 12 -month look back versus a three month look back.  So, the initial time when you do that and you're bumping up the reserve, which is what happened in quarter, that's more of a one-time, but the other component of the activity, the actual obsolete product that has the potential to be ongoing. Obviously, we're -- that's the focus that Masoud is talking about is, how do we manage inventory better in-house, so that we don't have as high and obsolescence rate as we've had the last couple of quarters. So, that could persist. But the actual adjustment to estimate is more one-time.  And then now it’s just a matter of how we manage inventory going forward. So, I think both Masoud and I believe that margins are going to improve from this point that's what we're working towards, but they could there be a bump or two. I don't know, I suspect there's always a possibility, but that's where we're managing to expanding the margins after this point.
Matt Sykes: Got it. Thanks, Mike and Masoud. Appreciate it.
Mike Doyle: Thanks, Matt.
Masoud Toloue: Thank you, Matt.
Operator: Thank you. Our next question comes from Puneet Souda of SVB Securities. Please proceed.
Puneet Souda: Yeah. Hi, Masoud and thanks for taking my question. So first one is, maybe I missed this, can you just elaborate a bit -- maybe at a high level first, on HDx. What were you seeing penetration for those product at this point in time and who continues to ask for this product versus SRx. I think you pointed out SRx was more stronger in the quarter. So maybe just also help us understand the slower HDx in the quarter, was that just largely inventory side of things or was there or the input side of things or was there something else going on there?  And how should we think about sort of as we think about 2022 and maybe even 2023, how should we think about the instrument placements. I mean, obviously, Quanterix had a strong placements before, but I mean, the story has evolved with more clinical trials. So, how should we think about the core business of instrument placements overall longer term as well? Thank you.
Mike Doyle: Hey, Puneet. So, I think that the instrument story hasn't changed significantly. I mean, we've got some variation in the quarter. Obviously, there are high throughput customers use HDx and that hasn't changed. It's still the preferred instrument for a high throughput from our CRO customer and the SRx still comments or comment in academia and low throughput users. So, that hasn't changed. But what has changed, and it's an interesting view is that, as there's new breakthroughs, as we have access to new technology, we announced 217, how can you get your samples and tested with that biomarker as fast as possible and that's through our Accelerator Laboratory.  And so, you see our accelerator growing faster this year based on some news in the market, some of the Alzheimer's drugs shots on goal that we expect to see over the next year and just demand for some of the new biomarkers that we announced. So, that's a little bit of a mix shift towards accelerator and consumables, but no significant events or changes on our instrument. We expect that to continue.
Puneet Souda: Okay. That's great. And then on the product side. Obviously, you came in softer versus our expectations. And maybe can you help us understand, I mean, given the large NFL study that you had a number of things. Is that where you're seeing momentum obviously, you're now as a result, you're keeping your guide intact, which makes the second half a little bit more steeper than before. So, maybe just help us understand where do you expect to see the most momentum. Maybe help us just sort of essentially describes a little bit more details on the guide itself, so we can try to get comfort on which segments are going to -- where we should see most acceleration versus others.
Masoud Toloue: Yeah, Puneet. So the way we have this back end increase, we think it's going to continue to be accelerator and our pharma customers. So, whether it's our NFL test or 181 and even 217, we think that the biomarkers that are highest demand and that's where we expect a large pickup -- bigger pickup in Q3, Q4, while we keep the guidance intact. The NFL study that you mentioned was also a very positive for us. NFL is one of our biggest selling biomarkers together combined with Simoa, we're able to get ultra-sensitivity and the key part about that study is that in the past, there wasn't really a normal serum NFL level and that people's NFL levels as we age and as your BMI is higher those increase.  So, this study really establish that baseline and examined over 10,000 samples, 5,000 subjects and put together a normal range or normative range. So, that was not just critical for MS. But a database that completely opened to the public and that makes and NFL a more versatile tool for all types of research. So, we were very excited about that. It was a very large study Basel, and we think that this helps that biomarker and the prognosis of disease activity.
Puneet Souda: Okay. And then just last one. Do you think any changes on the competitive landscape. Overall, with respect to Alzheimer's diagnostics, obviously, this is an exciting field. So, it seems that there is significant interest. I'm just wondering, given the capabilities you have, the 217 and the NFL, other NFL being your own capability. I mean, just overall, are you seeing sort of the changes in the competitive landscape? Obviously, it's good that you have breakthrough designation on some of these products, but just wanted to get a sense from you as to how you see the rest of the market is evolving around you.
Masoud Toloue: Yeah. So, the one thing I would emphasize is that it's pretty hard to measure phosphorylated tau in blood at the sensitivity required for some of the pre-cognitive disorders, including Alzheimer's. And you think about Quanterix as pTau-181, for example, our LOD for our 181 test 0.03 picmoles per mL and that's two orders of magnitude better and local sensitivity than other pTau out there. So, I think that we have in the two orders of magnitude delta between us and some of our competitors, especially around pTau-181 and if you're going to test it in blood that contact is one of the more sensitive products in the market. So, I think that remains CSF.  We obviously have test for CSF, you need less sensitivity and some good news, some positive news in the market around test that the FDA has cleared for CSF measurement, which is more invasive. We were very -- we are excited about that news, because that's also a good step in the direction for just this research in general and we can compare to more invasive test. So overall, I think the dynamic is interesting. You see a lot of activity. We're excited to participate in it.
Puneet Souda: Okay. Thanks, guys.
Masoud Toloue: Thanks, Puneet.
Operator: Thank you. I would now like to turn the conference back to Masoud Toloue for closing remarks.
Masoud Toloue: So when I joined Quanterix, it was very simple and for -- I think for every employee joining it's equally a simple. On average every day, there are between one and two peer-reviewed research findings use our technology, and so even more simple than that is that Simoa was unlocking new discoveries every day. And this quarter, we talked about the linkage between Epstein-Barr and MS, which was a discovery that opens a doorway for more attention, focus and intervention towards this debilitating disease.  And as our customer demand increases for research like that, we need to make this technology more available, technology like Simoa needs to get into more hands. And so, one of our key areas of focus will be several changes in the organization that will ensure scale with quality. And this process begins with a new operational model, incredibly talented individuals and the close connection to our user base. So, it's early stages of this journey and we look forward to providing you updates on our progress in subsequent calls.
Operator: This concludes today's conference call. Thank you for participating and you may now disconnect.